Operator: Good day, ladies and gentlemen. And welcome to the Q3 2011 Ctrip.com International Limited Earnings Conference Call. My name is [Li], and I’ll be your event manager today. Throughout the conference, you will remain on listen-only. (Operator Instructions) We ask that you please limit your to two questions per person and if you have any further questions you are encourage to queue up again. And now I would like to hand the conference over to Michelle Qi. Please proceed.
Michelle Qi: Thanks Li. Thank you for attending Ctrip third quarter 2011 earnings conference call. Joining me on the call today we have Mr. James Liang, Chairman of the Board; Mr. Min Fan, President and Chief Executive Officer; and Ms. Jane Sun, Chief Financial Officer. We may during this call discuss our future outlook and performance which are forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties, as such our results maybe materially different from the views expressed today. A number of potential risks and uncertainties are outlined in Ctrip’s public filings with the Securities and Exchange Commission. Ctrip does not take any obligation to update any forward-looking statements except as required under applicable law. Min, James, and Jane will provide a business update, industry outlook and financial highlights for the third quarter of 2011, as well as the outlook for the fourth quarter of 2011. We will also have a Q&A session towards the end of this call. With that, I will turn to Min for our business update.
Min Fan: Thanks, Michelle, and thank you to everyone for joining us on the call today. In the first quarter of 2011, the Ctrip team once again delivered solid results with a continued focus on strong execution, in spite of the challenging comparison base our net revenues grew 20% year-over-year. During the quarter, the team further developed a more product offerings and enhanced our booking platforms. The sales and marketing team increased promotion activities to stimulate the demand for travel and strengthen the Ctrip brand. The Ctrip team further extended our hotel supply network to meet the growing demand from travelers, reaching approximately 21,900 hotels by the end of September 2011, compared to 13,700 hotels at the same time in 2010. The number of hotels with guaranteed room allotments accounted for approximately 75% of the total hotel supply. Besides the ongoing efforts to expand our hotel network and to enrich the variety of hotel products available, the team also intensified sales and marketing activities during the quarter. To further extend our market leadership from this quarter and going into only a next year we will increase the budget for coupon given to end users by offering cash rebates when they book hotels online and provide hotel reviews. We believe the campaign will drive incremental demand and encourage customers to carry out more transactions online. Our coupon program will be the best in the hotel reservation business, by combining this coupon offering with excellent customer service and technology we will expand our leadership in this field. Ctrip’s air ticketing business has continued to outgrow the market and gain more market share. Our team went to great lands to broaden the variety of air tickets available in order to meet a wide range of customer needs. In addition to the vast air ticketing service available in China, our team manages to offer more choices of air tickets with more competitive pricing partly from third quarter by our new lower price dash board. Travelers can now see and easily book tickets with lowest price available. The Packaged-tour team worked hard to take full advantage of the fast growing leisure travel sector. In recent statistics averaged by the National Tourist Administration of China, Ctrip’s outbound travel traffic lead the force among all travel earning fees. This was the first time that an online travel earning fee has featured in the top 10 in the outbound travel business. We are pleased to see so many customers putting their faith in Ctrip when they make travel plans. As always we endeavor to strengthen relationships with our partners. In September, Ctrip launched another broad initiative to partner with Garuda Indonesia the largest airline in Indonesia. The two companies will work together to develop leisure tour packages for premier markets and specific groups in China who are interested in, for example, adventure, diving or exploration. Ctrip today is one of the most important travel tour service organizers in many major destinations within China and beyond. We will continue to mature our partnerships and develop more domestic and international tour packages. Thanks to superior service and strong implementation by the Ctrip team. Ctrip Corporate Travel was voted Corporate Travel Management of the year by Travel Weekly magazine for the third year running. Building on our past success, our new initiative has small and medium enterprises, wage represent RMB100 billion market currently underserved by qualified corporate travel management companies. We are confident that with efficient sales and marketing forces and our significant IT advantage, we will succeed in educating and attracting an increasing number of Chinese business. While the Ctrip website took the number one position among all travel booking websites in China. Ctrip’s mobile apps were also named top user friendly travel booking apps compared to other similar products. In addition to providing reliable and a convenient hotel and air ticketing information and booking services, Ctrip’s latest iPhone app also helps users book local excursions and provide the latest train ticketing information. With over 6 million downloads so far, Ctrip mobile apps are the most downloaded travel apps in China. Ctrip’s platforms extend from smartphones to tablet computers. Shortly after its release in only October, the Ctrip iPad app has become the most popular iPad travel app in China. And also the increasing popularity of our wireless apps, we are pleased to see our revenue increase in booking volume from mobile devices and are inspired to see somewhat unique demographics in bookings habits of our mobile users. Ever since it was established, Ctrip has been committed to providing the best quality service to its customers. This quarter our compact sensor was awarded China’s best compact sensor by the China Call Center and the CIM Association. This is the fifth time Ctrip has achieved this award. The Ctrip Call Center also won the Golden Headset award for the best content center in China for the fifth consecutive time. We believe that unparallel service is a key force behind the expanding loyal customer base that drives our continued surprise -- success. We will keep up the hard work and strive to improve service levels even more. So the continued efforts of the sales and marketing team a number of cumulative customers increased to 14.4 million by the end of third quarter of 2011, compared to 11.1 million for the same period in 2010. Ctrip launched various marketing activities such as the first ever Ctrip Miss Tourism contest held in cooperation with the Miss World Organization. The first Miss Tourism will become a Ctrip ambassador to help promote tourism and the Ctrip brand. In the coming quarters, Ctrip will invest more in sales and marketing activities in order to take advantage of the underpenetrated market and to further expand our market share. By closely monitoring the efficiencies of every sales and marketing channel, and effectively managing our resources, we will maintain a balance between short-term return and long-term growth. Good IT platforms need good products to make them great. To maintain our competitive edge in today’s marketplace, we will focus on offering the best products that meet the diverse needs of our customers and to penetrate new markets. Ctrip will increase investment in hotel network expansion, international air ticket search and booking engine, international and domestic leisure destination development and recruiting corporate clients for the SME corporate travel management business. These investments will result in an increase in operating expenses. However, we conceive this to be a rewarding investment that will extend our competitiveness, advantage and bolster long-term growth. Taking a closer look at some of our new initiatives, we have been inspired by the preliminary progress. For example, Ctrip’s train ticketing channel is growing rapidly. Meeting our fast growing demand, we’re breaking records almost daily, we’ll expand the geographic coverage of our train ticketing service from Shanghai and the surrounding areas for 14 provinces and cities nationwide within three months approach the platform, when this geographic coverage ticketing service are available for all high-end trains, including the high-speed rail, multi-units and inter-city train networks. The company was again selected as one of the China’s most admired companies by Fortune Magazine, as voted by 25 sound managers from 280 companies, Ctrip were the only company in the travel service industry to win this honor. And other thing to our commitment to maximize volumes for shareholders by delivering strong business growth, the company recently announced two stock buyback programs, with the total amount up to US$115 million. The travel industry is growing fast in China, there are many players in the market, but only those with a sustainable business model and a solid execution can be profitable. Over the next couple of quarters, we will execute more sales and marketing promotions and invest more in technology to deliver the best products, the best service and the best prices to our customers, and achieve even great success in the long-term. Now, I will turn to James for the industry outlook.
James Liang: Thanks, Min. Despite the prevalent concern for slowdown and the stagnation in the global economy, we believe that China’s domestic consumption will continue to be healthy, gradually replacing exports as China’s growth driver. According to forecast by Boston Consulting Group, China will be the second largest consumer market in the world by 2015, growing from its current 5% of global consumption to 14%. The percentage in private consumption in China’s GDP is expected to increase to 45% by 2015 from the present 36%. Compared with export oriented companies, companies like Ctrip which targets domestic markets will do very well. Ctrip has a proven track record of success under different market conditions throughout the last 12 years. In several markets, we try to capitalize our overall opportunity at less favorable times. We turn challenges into opportunities and gained even more market share. Our goal is to be one of the top travel agencies in the world and our team will work hard to elevate the business to a higher level. Now, I’ll turn to Jane for financial update.
Jane Sun: Thanks, James. I’m pleased to report the solid results for the third quarter of 2011. For the third quarter of 2011, net revenues were RMB975 million or USD153 million, representing a 20% increase from the same period in 2010, net revenues for the third quarter of 2011 increased by 17% from the previous quarter. Hotel reservation revenues amounted to RMB410 million or USD64 million for the third quarter of 2011, representing a 17% increase year-on-year and 12% increase quarter-on-quarter primarily driven by an increase in hotel reservation volume. Air ticketing booking revenues for the third quarter of 2011 were RMB385 million or USD60 million, representing a 22% increase year-on-year, primarily driven by a 16% increase in air ticketing sales volume and a 6% increase in commission per ticket year-on-year. Air ticketing booking revenues increased 11% quarter-on-quarter. Packaged-tour revenue for the third quarter of 2011 were RMB171 million or USD27 million, representing a 22% increase year-on-year, due to the increase of leisure travel volume. Packaged-tour revenues increased 58% quarter-on-quarter, primarily due to the seasonality. Corporate travel revenues for the third quarter of 2011 were RMB43 million or USD7 million, representing an 28% increase year-on-year and a 10% increase quarter-on-quarter, primarily driven by an increased corporate travel demand from business activities. Gross margin was 77% in the third quarter of 2011, compared to 78% in the same period in 2010 and remained consistent with that in the previous quarters. Product development expenses for the third quarter of 2011 increased by 31% to RMB162 million or USD25 million from the same period in 2010 and increased by 18% from the previous quarter, primarily due to an increase in product development personnel and share-based compensation charges. Excluding share-based compensation charges, product development expenses accounted for 14% of the net revenues, increased from 13% in the same period in 2010 and remained consistent with that in the previous quarter. Sales and marketing expenses for the third quarter of 2011 increased by 39% to RMB174 million or USD27 million from the same period in 2010, primarily due to an increase in sales and marketing related activities and an increase in sales and marketing personnel. Sales and marketing expenses for the third quarter of 2011 increased by 23% from the previous quarter, primarily due to an increase in sales and marketing related activities, excluding share-based compensation charges, sales and marketing expenses accounted for 17% of the net revenues, increased from 14% in the same period in 2010 and increased from 16% in the previous quarter. General and administrative expenses for the third quarter of 2011 increased by 37% to RMB109 million or USD17 million from the same period in 2010, primarily due to an increase in administrative personnel and share-based compensation charges. General and administrative expenses for the third quarter of 2011 increased by 13% from the previous quarter, primarily due to the increase in administrative personnel, excluding share-based compensation charges, general and administrative expenses accounted for 6% of the net revenues, increased from 5% in the same period in 2010 and in the previous quarter. Income from operations for the third quarter of 2011 was RMB304 million or USD48 million, representing a decrease of 1% from the same period in 2010 and an increase of 13% from the previous quarter. Excluding share-based compensation charges, income from operations was RMB395 million or USD62 million, representing an increase of 7% from the same period in 2010 and an increase of 11% from the previous quarter. Operating margin was 31% in the third quarter of 2011, compared to 38% in the same period in 2010 and 32% in the previous quarter. Excluding share-based compensation charges, operating margin was 41%, decreased from 45% in the same period in 2010 and 43% in the previous quarter. The effective tax rate for the third quarter of 2011 was 21%, increased from 17% in the same periods of 2010, primarily due to the normalization of the tax rate in the third quarter of 2011. The effective tax rate for the third quarter of 2011 increased from 16% in the previous quarter, primarily due to certain tax benefit granted by the local tax bureau in the second quarter of 2011. Net income attributable to Ctrip’s shareholders in the third quarter of 2011 was RMB325 million or USD51 million, representing an increase of 2% from the same period in 2010 and an increase of 23% from the previous quarter. Excluding share-based compensation charges, net income attributable to Ctrip’s shareholders was RMB416 million or USD65 million, representing an increase of 9% from the same period in 2010 and an increase of 18% from the previous quarter. Diluted earnings per ADS were RMB2.13 or USD0.33 for the third quarter of 2011. Excluding share-based compensation charges, diluted earnings per ADS were RMB2.73 or USD0.43 for the third quarter of 2011. As of September 30, 2011, the balance of cash and cash equivalents, restricted cash and short-term investment was RMB4.2 billion and USD664 million. For the fourth quarter of 2011, the company expects to continue the net revenue growth year-on-year at a rate of approximately 15% to 20%. This forecast reflects Ctrip’s current and preliminary view, which is subject to change. With that, Operator, we are opening the lines for questions.
Operator: (Operator Instructions) Your first question will come from the line of Richard Ji from Morgan Stanley. Please proceed.
Richard Ji – Morgan Stanley: Hi. Good morning, Min, Jane and James. Thanks for taking my call.
James Liang: Yeah.
Jane Sun: Yeah.
Richard Ji – Morgan Stanley: Let me start with two questions. First of all, first and foremost, your topline growth which have moderated due to the large base last year related to the World Expo in Shanghai and going forward, especially from 4Q onwards, and we confirm that to see revenue reacceleration and so far can you comment on the trend that you have seen? Thank you.
Jane Sun: Sure. I think Q2, Q3 the comparison base is very high due to the World Expo. In Q4, we still have one month’s worth of the World Expo, which was very high last year. Secondly, I think for Q4 mainland market -- mainland China market grow very strong. So in terms of gross rate Q4 versus Q3 for mainland business is growing faster. However, outside of mainland China, in the Greater China area, including Hong Kong, Taiwan, the GDP growth rate in these regions are relatively a little slower than the GDP growth rate in mainland China. That’s why we maintain our guidance at about 15% to 20% year-over-year.
Richard Ji – Morgan Stanley: Understood. Thank you. And secondly, regarding your sales marketing program, obviously you have stepped up your marketing initiatives very significantly recently, especially for the coupon program. Can you comment on effectiveness of your coupon program in terms of customer retention and the new customer acquisition and going forward -- and should we see a margin rebound in the coming quarters?
James Liang: Okay. Recently we launched a coupon promotion where customer book by Ctrip they can get coupon and which can be redeemed via casual base. And I think with the Ctrip’s skill we launched this promotion in order to boost the travel demand and also I think our customers say they have different kind of levels customers. We always want to get more and more customers and we try to choose the right time to launch promotion. As you know, year 2011 is a kind of slowdown year compared to 2010, so we hope this coupon promotion can attract in more and more new customers, as well as the old customers. I think with Ctrip skill, high profitability and strong execution, we will -- we can afford the investment in sales and marketing to attract more customers and to maintain higher loyalty customers to extend our leadership in the market, so simply coupon is just launched a short time ago, so we want the effectiveness carefully.
Richard Ji – Morgan Stanley: Yeah. That’s great. Helpful. Thank you.
James Liang: Thank you.
Jane Sun: Thank you, Richard.
Operator: And your next question comes from the line of Alex Yao from Deutsche Bank.
Alex Yao – Deutsche Bank: Hi. Good morning, Min, James and Jane. Thank you very much for taking my question.
Jane Sun: Hi.
Alex Yao – Deutsche Bank: My first question is, can you help us understand how business traveler and the leisure traveler reacted to macro-uncertainty and also, can you give us an update on the percentage of business traveler versus leisure traveler so far? Thank you.
Jane Sun: I think the business traveler versus leisure traveler percentage remains very consistent, which is about 70% to 80% business related travelers for Ctrip. These customers are high-end users and the rest 20% to 30% are leisure travelers. How they reacted to the market? I think, so far in mainland China both segments are growing fast. I think with our best product and best prices strategy, these customers who compare the price, as well as looking for good services are still very loyal to Ctrip services.
Alex Yao – Deutsche Bank: Got it. Second question is, can you help us to understand more about your sales and marketing strategy in relation to, one, the competitive environment and B, microenvironment and also, what should be a more normalized level of sales and marketing expense as a percentage of total revenue and when will that take place? Thank you.
Jane Sun: Okay. First of all, for sales and marketing, Ctrip will normally carefully calculate the investment return to make sure every dollar we put into the market achieves the best return in the market. Secondly, we are always very happy to work with our suppliers, our customers and also the other players in the market to make sure the market is -- marketing activities are being conducted at a healthy level. Certainly, if however there is a rational promotion in a market, based on Ctrip’s profitability. Ctrip can afford to match any sales marketing campaign to make sure we further expand our leadership in a marketplace very rapidly. So the reason to coupon program is under very careful monitoring of the market, that’s a marketing campaign we believe will further extend our leadership in the hotel business very quickly and also into the unpenetrated market. So these are our principals that we adhere to. Ctrip target has always been to maintain a very healthy market but if there is underpenetrated market that we see have greater opportunities based on our financial bandwidth and the profitability. We will be in a position to match any promotions in the market to further extend our leadership. In terms of the margin impact for Q4, we conservatively guide the operating margin for Q4 will be at about 35% before stock compensation. So compared to 41% of this quarter in Q3, there is a 6% decrease in the market that we are willing and we are prepared to take, including in the 6% drop, 2% is related to labor costs because we need to hire more people to penetrate into the market. The other 2% to 3% coupon related program, which as you translate to hotel related revenue that’s about 8% to 10% of the hotel revenue. We are willing and we are prepared to match up with any sales promotions in the market and the rest is new development in the market and other sales and marketing channel.
Alex Yao – Deutsche Bank: Got it. Thank you very much.
Jane Sun: Sure. Thanks.
Operator: And your next question come from the line of Chenyi Lu from COWEN. Please proceed.
Ann Jie – COWEN: This is Ann Jie calling in behalf of Chenyi. I was just wondering for your gross margin this quarter. It was lower year-over-year and quarter-over-quarter. I was wondering, what your outlook is for fourth quarter and 2012 and also would you expect for gross margin by segment?
Jane Sun: Sure. As we discussed, for Q4 we guide the gross margin at 35% before stock-compensation compared to -- operating margin at 35% before stock-compensation, compared to Q3, which is 41%. There will be another 6% drop that we are prepared to take in order to match up with any promotions in the market. For 2012, we are still rolling up our plan, so we’ll be able to give a more detailed guidance when we announce our Q4 numbers.
Ann Jie – COWEN: And your gross margin by segment this quarter?
Jane Sun: Still within the range but towards the low end of the range. So hotel business is about 85% to 90%, but towards the lower end of the range, air ticketing is 65% to 70%, packaged-tour 70% to 80%.
Ann Jie – COWEN: Thank you.
Jane Sun: Sure. Thanks.
Operator: And your next question comes from the line of Wendy Huang from Royal Bank of Scotland. Please proceed.
Wendy Huang – Royal Bank of Scotland: Thanks for taking my question. First of all, you guided 15% to 20% year-over-year growth. So do you expect this kind of year-over-year growth to be the trial and also do you expect high growth in 2012?
Jane Sun: I think in terms of mainland China, the growth rate in Q4 is higher than Q3 but when we add the Greater China area in because the GDP growth rate in the rest of the Greater China area is relatively slower, that’s why if you add them together we guided at the same range as Q3. In 2012, we are still monitoring the market. If the GDP growth rate in China maintained healthily and if our sales and marketing campaign is strengthened, we will grow very aggressively our topline.
Wendy Huang – Royal Bank of Scotland: Just to follow-up on that, so what’s your contribution from mainland China revenue?
Jane Sun: I’m sorry.
Wendy Huang – Royal Bank of Scotland: What’s your revenue contribution from the mainland China area since you kept mentioning that mainland China seems to be the only region that’s still growing robustly?
Jane Sun: More than 90%.
Wendy Huang – Royal Bank of Scotland: Okay. And second question is still regarding your coupon program. So just to clarify that all the coupon program related costs will be booked in the self marketing, so there will be no cash rebate book in the topline i.e. you won’t book anything net of revenue, right?
Jane Sun: It is going to be net of revenue if it’s a cash rebate.
Wendy Huang – Royal Bank of Scotland: So in that case will it affect the commission per hotel room night?
Jane Sun: Commission per hotel room nights from the hotel side it remains the same but we will give out the coupon as the cost of goods sold, as a net revenue come to revenue account.
Wendy Huang – Royal Bank of Scotland: Okay. Thanks Jane.
Jane Sun: Thanks, Wendy.
Operator: And from Goldman Sachs your next question comes from Catherine Leung.
Catherine Leung – Goldman Sachs: Hi. Morning. I have a follow-up related to the coupon program and if whether do you believe that the program is attracting more of your business or leisure travelers and my second question is regarding the duration of the more intensive sales and marketing strategy and your reference to increasing spend during the weaker underlying travel market. What type of conditions would lead you to eventually dial back marketing spend is it a recovery in the macro or is it some sort of assessment of the competitive landscape? Thank you.
James Liang: Yeah. Actually, regarding coupon promotion in the China market still we do have quite a lot business travelers, high-end travelers and who are not price sensitive and still in the market, there are still quite some customers, they are still quite price sensitive. So I think to -- in order to attract more customers this coupon promotion can attract more customers in the market. In the mean time while in the market, in the competition landscape, we have to match the competition with other competitors. So this means I think we can maintain, get more and more new customers while maintaining the loyalty of the older customers.
Catherine Leung – Goldman Sachs: And maybe just a quick follow-up. In terms of the coupons attracting more price sensitive customers, do you envision that this would require an ongoing promotional expense because these customers presumably would be comparing prices quite frequently when they book?
Jane Sun: I think Catherine first of all, I think Ctrip will never start any irrational campaign on the pricing. However, if there is irrational promotions in the market started by other players in order to rapidly extend our leadership in the market share we will make strategic decision to extend our leadership by match them up. So it’s a combination of market conditions, as well as the competitive landscape.
Catherine Leung – Goldman Sachs: I see. Thank you.
Jane Sun: Thanks.
Operator: And your next question comes from the line of Eddie Leung from Merrill Lynch.
Eddie Leung – Merrill Lynch: Good morning, everyone. Thank you for taking my questions. My first question is related to our ticket commission. There was an increase in the ticket commission related to same time last year. So is it the result of an increase in ticket prices or more about a recovery in commission rate?
Jane Sun: The commission per ticket increased by about 6%, mainly driven by the commission rate on a year-over-year basis has increased. If you remember Q3 of last year the airlines -- the commission rates for the airlines dropped quite significantly. So this year on a year-over-year basis there is some recovery.
Eddie Leung – Merrill Lynch: Understood. And then my next question is about your labor cost. You mentioned that you would be seeing the labor cost going up. So how big is the staff force at the moment and what’s your headcount planned for the rest of the year? Thanks.
Jane Sun: Headcount right now is about 13000 stuff. I think we control our cost very tightly. We normally do not allow, for existing business line we do not allow the headcount to exceed the volume growth in the market. However, as you already know, in China the labor costs per employee are increasing. So we also have to stay competitive on that.
Eddie Leung – Merrill Lynch: Got that. Thank you.
Jane Sun: Sure. Thanks.
Operator: And your next question comes from George Askew from Stifel Nicolaus.
George Askew – Stifel Nicolaus: Thanks. Good morning. One -- you referred several times to rational programs in the marketplace. What have you seen from competitors, sounds like you’ve seen programs in the last month or two or quarter so, what are you seeing from competitors that might be irrational?
Jane Sun: I think in the healthy environment, we should complete and service on a product. Pricing compressing in a way is not the best strategy. But if we do see price competition in the market I think Ctrip probably has the best financial potential and to match up with any sales and marketing promotions in the market. So coupon program is one of the strategy that we make a strategic decision to match up with the market practice.
George Askew – Stifel Nicolaus: So does that mean you’re not yet seeing the rational activity, which you anticipate that you will?
Jane Sun: Yeah. I think if everyone is doing the same thing maybe after while the market should be rebalanced.
George Askew – Stifel Nicolaus: Okay. And if you -- you referenced that the global economy before but just kind of drilling into China specifically, with real estate prices, for example, in Shanghai rolling over a bit last couple of quarters, are you seeing a wealth effect impact on your business?
Min Fan: Yeah. So I think what you state those macroeconomic factors do have some impact on the macro travel patterns. We do see even among those high-end hotels, the year-on-year comparison is not so high. I think quite some business activities can be little bit go down because of the little bit slowdown GDP growth and also, as those kind of real estate situation. But I think this kind of situation, this kind of impact are not so significant to impact the Ctrip’s growth. I think even in microeconomy, travel industry in China, we do see this industry can be more resilient than other industry, since China travel industry just entered a golden era. In the meantime, I think for the -- during the tough market, probably can give strong players more opportunities, and we think Ctrip can do better in tough times than small players, even the market is not so -- even when the total macro situation is not so good as before.
George Askew – Stifel Nicolaus: Okay. Great. And just one last question. You referenced your share buyback programs, can you give us kind of we’re halfway through the quarter, can you give us a sense of what’s gone on in the past six weeks or so and how do you look at share buybacks versus dividends as a way of returning value to shareholders and thanks very much.
Jane Sun: Sure. We just started our share buyback program. The Board has authorized the RMB150 million in total for the share buyback program. We monitor the market condition very carefully and execute it with great prudence. So far, we are setting different price packet to execute this program very methodically. In terms of cash dividends versus stock buyback, I think we always talk with our investors as well in terms of their preference. I think when the market has a drop due to reasons that’s not related to company’s execution, probably the best way to return shareholders value is through a stock buyback program. But, however, we are open to listen to our shareholders opinion in terms of what’s the best way to return the value to them.
George Askew – Stifel Nicolaus: Thank you.
Jane Sun: Thanks.
Operator: And your next question comes from the line of Fawne Jiang from Brean Murray. Please proceed.
Fawne Jiang – Brean Murray: Good morning. Thank you for taking my questions. First question, actually, a couple of housekeeping items. Just wondering, what’s the government subsidies for the quarter and also what’s your online penetration as of 3Q?
Jane Sun: If you look at the other income line, the majority of the other income line is related to the government subsidy.
Fawne Jiang – Brean Murray: And how about online penetration as of third quarter?
Jane Sun: It’s more than 40% to 45%.
Fawne Jiang – Brean Murray: Got it. My second question is actually related to your call center business. Just wondered, what’s the current headcount for call center? Also, what’s the company’s plan for headcount contact station for 2012 on the call center business? And also, you mentioned that, you do see labor increase as a per employee basis, just wondered, was the company is budgeting for per call center staff, basically a competition increase for 2012 and how would that impacts your gross margin going forward?
Jane Sun: Sure. The call center employee represents about 50% of the total headcount. So total headcount is about 13000 right now, half of them are call center related. In terms of salary increase, I think we will maintain a competitive strategy with the market. So whatever market level is we’ll match up to it. In terms of the impact on the margin about 1% to 2% in gross margin.
Fawne Jiang – Brean Murray: Got it. That’s actually for 2012 from the current level, right, Jane, just wanted to clarify?
Jane Sun: Correct.
Fawne Jiang – Brean Murray: Okay. Got it. Thank you very much.
Jane Sun: Sure. Thank you.
Operator: And your next question comes from the line of Muzhi Li from Mizuho Securities.
Muzhi Li – Mizuho Securities: Hi. Thank you for taking my questions. Would you please give me or share some prospect for the growth in the different segments like the percentage growth in the hotel, air ticket and the packaged-tour? Thank you.
Jane Sun: Sure. Are you talking about the guidance or past quarter?
Muzhi Li – Mizuho Securities: Yeah. Yeah. Guidance.
Jane Sun: Guidance. Okay. Let me walk you thought line item by line item. For hotel business, we forecast revenue growth will be 15% to 20% on a year-over-year basis, mainly driven by the volume growth. Secondly, on air ticket, the growth will be around 10% to 15% on the revenue side, which is driven by 15% to 20% for the volume and partially offset by a slight price decrease of 5%. Similar for corporate travel because corporate travel mainly air ticketing related business and for packaged-tour we forecast 30% to 40% increase on a year-over-year basis.
Muzhi Li – Mizuho Securities: Thank you. Very Helpful.
Jane Sun: Sure. Thanks.
Operator: And from Piper Jaffray your next question comes from Mike Olson.
Andrew Connor – Piper Jaffray: Good morning. This is Andrew Connor calling on behalf of Mike.
Jane Sun: Hi, Andrew.
Andrew Connor – Piper Jaffray: Hi. Could you repeat the number of hotels in your network at quarter end versus prior year? And then would you say that room nights booked through Ctrip per hotel customer are increasing or decreasing?
Jane Sun: Hotel our network in Q3 of this year is about 21,900, which represents about 60% year-over-year growth. So last year same period we were at 13,700. In terms of the booking, I think it’s remained very consistent.
Andrew Connor – Piper Jaffray: Okay. Great. And could you give us an update on Wing On, what was Wing On’s growth during the quarter and percentage of total net revenue?
Jane Sun: As we discussed because of the GDP growth rate in Hong Kong area and the rest of the Greater China area is below the mainland China, so the gross rate is lower than the mainland China. Their contribution to the revenue, Wing On easy travel together is about 8% to 9% of the total.
Andrew Connor – Piper Jaffray: Okay. Great. And a quick housekeeping, the operating cash flow and capital expenditures in the quarter? Thank you.
Jane Sun: Operating cash flow is about to RMB250 million from operating activities. Capital expenditure is about RMB25 million.
Andrew Connor – Piper Jaffray: Great. Thank you.
Jane Sun: Sure. Thanks.
Operator: And Andy Yeung from Oppenheimer is on the line with your next question.
Andy Yeung – Oppenheimer: Good morning. Thank you for taking my questions. My first question is regarding your train ticketing business, you mentioned that, that business is going restart, we also noticed that there were some news report that consumers in China will be able to purchase train ticket online by year end? So can you give us some color on your strategy regarding online train ticketing and also can you also provide some recent metrics regarding your online train ticketing business right now?
James Liang: For the train ticketing we right now provide the online train information and also train booking services and the growth is quite healthy and I think we will gradually cover more and more departure cities and we will cover more and more delivery services. And I think this train business has great potential. Although right now the revenue impact is insignificant but we think that with the train booking services for our customers this will vary effectively help the loyalty of our customers. And in the meantime we are also working hard to combine train tickets with our leisure packages business and I think in this regard we will -- definitely we will try to design more products for those leisure travelers in the near future. I think for, although, right now the train business, if high speed rail business right now accounts a very small portion of total business, but this gave very good potential for our future growth.
Andy Yeung – Oppenheimer: Got it. Okay. My next question is regarding hotel business. You mentioned that you’re prepared to be more aggressive if need be in term of sales and marketing and coupon program. So can you give us some colors on your view on the competitive landscape of the hotel business particularly regarding some of the traditional agencies and online travel agencies and net search engines and also group buying operators?
James Liang: Yeah. I think positive way we focus very much and provide best service and best product and the best prices. In the competition landscape, there are many players in terms of the hotel bookings area and Ctrip will -- for past years and also for the future we will focus very much to be one-stop solution for those hotel booking customers and we will cover more and more hotels nationwide and also, we will match more efficient promotional activities in the market, also we will consistently provide the best booking service in the market. So in that regard I think definitely we intend to maintain our market leading position not only for the past years, but also in the years to come.
Andy Yeung – Oppenheimer: Got it. One quick follow-up and so in terms of competitive pressure, which area do you feel most competitive pressure, is that coming from order online travel agencies or net search engines or the new group buying business?
James Liang: Yeah. I think for Ctrip we will try to focus our own products and service and of course, they are very -- you can say they are quite fierce competition in the market but still I think, as long as you can provide the best service and the best products and you will still keep very high -- you can still keep our leadership in the market.
Andy Yeung – Oppenheimer: Got it. Thank you.
James Liang: Thank you.
Operator: And your next question comes from Ming Zhao from SIG.
Ming Zhao – SIG: Oh!. Thank you. Good morning, everyone. So some follow-up questions still on this coupon program. So in the past, you have done some seasonal promotions, like issuing similar coupons. Basically, you are turning that into a permanent policy. Is this understanding correct? And secondly, so based on the past experience, what’s the redemption like for this coupon among the business travelers? Do they do that a lot? When it impacts your P&L, only when redemption happens, you will have this topline impact going through to the operating margin impact line?
Jane Sun: Yeah. So, Ming, you’re right, in the past, we based on the seasonality, we will stimulate the market using seasonal promotions. This coupon program is mainly to match up with what’s going on in the market. It’s not permanent. We believe that if everyone is doing the same thing, gradually the effectiveness probably is not as strong as only one player or two players are doing the same thing. So, hopefully, the market will have a very rational rebalance very shortly. So that’s our goal, what our goal is. But if it takes longer, we are prepared to do that, because with our profit and margin and the strong execution, I think Ctrip is in a best position to match with any promotion in the market. Secondly, in terms of the calculation and the bookings of the coupon, yeah, before the coupon is converted, we have to assess the conversation rate based on the best analysis. And then when the coupon is turned in, we will compare the actual numbers with assessment and adjust accordingly. So at the end of the day, what shifts the P&L should be the actual converted coupon.
Ming Zhao – SIG: Thank you.
Jane Sun: Sure.
Operator: (Operator Instructions) Your next question comes from the line of Wendy Huang from Royal Bank of Scotland.
Wendy Huang – Royal Bank of Scotland: Thanks. I have some housekeeping questions. Your earlier comment regarding the air ticketing pricing trends, you seemed to be happy with the current demand in the market and also pricing trend. However, Air China just released their October traffic data, which actually shows signs of gradual slowdown and also decline in their load factors. So, I just wonder, if we are heading towards another travel slowdown in China. How are you whether through this potential downturn better than the last around in 2008? Thank you.
Jane Sun: Sure. Wendy, I think if you compare, different sources give us this different data. When we look at the three major airlines data, their average for Q3 is about 2.5% year-over-year growth. Excuse me, however, Ctrip delivers 16% year-over-year growth in terms of volume. So that’s why I think our strong execution, our initiative the best service at the best price really help us to gain market share. Going forward, I think normally during the tough market, when the market slows down customer’s trust the reliable service provider. And when the economy is slowing down, I think the big players normally can offer better services and offer more reliable services. That’s the best time for us to even more rapidly grow our market share.
Wendy Huang – Royal Bank of Scotland: And or maybe I’ll ask this question a different way. I think Ctrip has always been delivering the higher growth in the overall industry and also solid execution, but still in 2008 your year-over-year growth declined from 47% in Q1 to 10% in Q4, so that’s actually a very dramatic decline. So what has changed, I mean, recently or what will be different going forward in the next round?
Jane Sun: I think when we plan our growth rate, we look at two factors. The first one is, what’s the baseline for the whole industry? The second one is, in addition to the baseline, how much we can outpace the market by gaining market share? So if you look at 2008, the beginning of 2008, the industry was growing very fast. So on top of maybe 15%, 20% of the market growth Ctrip add another 20% to gain market share. But when in -- at the end of 2009, we have industry slowdown, the whole industry had a decline in the market, we still managed to outgrow the market by growing 10%. So regardless it’s a healthy market or lower market, these two elements are the key for us to plan how much resources we need to hire, how fast can grow. Obviously, in terms of absolute growth rate in a healthy market, the absolute number might be higher but in terms of the gap, the Ctrip’s performance versus market performance normally the gap widened when it is in a tough market.
Wendy Huang – Royal Bank of Scotland: Thank you, Jane. And my second housekeeping question is regarding your guidance. So just to confirm that your air ticketing guidance suggested the commission rate to remain flat year-over-year, right?
Jane Sun: Correct.
Wendy Huang – Royal Bank of Scotland: And also, I don’t get your breakdown guidance for the corporate travel revenue?
Jane Sun: Corporate travel total volume is about 20% to 25, price is similar to air ticketing, which is slightly down by 5%, commission rates flat.
Wendy Huang – Royal Bank of Scotland: Okay. And also your balance sheet prepayment in other current assets increased from RMB382 million in Q2 to RMB444 million in Q3. So what has caused this big jump sequentially?
Jane Sun: Yeah. This is before the October holiday, we put down deposit with airlines to make sure we have sufficient fund to issue the tickets during the seven days holiday.
Wendy Huang – Royal Bank of Scotland: So this is just a seasonal impact, there is just nothing to do with policy change of the airlines?
Jane Sun: No.
Wendy Huang – Royal Bank of Scotland: Okay. And also your air ticketing income has also increased quite dramatically sequentially. So is it really because of the Home Inns equity income pickup?
Jane Sun: Yeah. Equity income is our portion to pickup our share in the Home Inns equity income.
Wendy Huang – Royal Bank of Scotland: But this number has increased by five folds in Q3, but I assume that you pick up the Home Inns Q2 2011’s capital income, which should be around US$33 million. So that should translate to I think less than US$6 million equity capital income pickup but you are booking US$20 million in the P&L this quarter. Can you clarify on that?
Jane Sun: Sure. We will walk you through the details offline, Wendy. Normally we book it, as you said that we look at Home Inns bottom line in the last quarter and we book it in the next quarter. So, we will walk you through the details after the conference call.
Wendy Huang – Royal Bank of Scotland: Okay. Thank you very much, Jane.
Jane Sun: Sure. Thanks.
Operator: (Operator Instructions) Your next question comes from the line of Fawne Jiang from Brean Murray. Please proceed.
Fawne Jiang – Brean Murray: Hi. Just have two quick follow-up questions. The first one is in regarding your coupon program. Just to get a sense regarding the scale of this program. Just wonder what’s the percentage of hotel in your portfolio have participate in the program, that’s one? Secondly, regarding the cash back you gave to the customers, how that, like, basically, what’s the average cash give-back as a percentage of your revenue per hotel? So basically I think your revenue per hotel, say, is in 70s, so how much average do you give back on per transaction base?
Min Fan: Okay. I’ll address your first question. Majority of our hotels will join this promotion and the purpose is to we definitely want to match the competitors’ efforts in the market and also we will in the near future or in the future will adjust according to the competition landscape.
Jane Sun: In terms of dollar amount, I think we are prepared to spend about 3% -- 2% to 3% of the total revenue, which equals to about 8% to 10% of the hotel revenue to match up with any promotions in the market for this program.
Fawne Jiang – Brean Murray: Okay. Got it. It’s very helpful. Last question is actually, just want to get a clarification on your air revenue guidance for 4Q. Jane you mention that the air you are expecting 15%, 20% volume growth offset by 5% revenue per ticket decline? I just want to get clarification there. I thought that you still get pretty low commissions rates last 4Q given more Expo impact, I was thinking that the commission rate will flow up as of this 4Q. Why we still see revenue coming up, I should say, pricing coming down year-over-year?
Jane Sun: Yeah. I think if you remember Q3 was during the peak season of the World Expo so the commission rates came down. After Q3 on the quarter-over-quarter basis for the past couple of quarters commission has remained very consistently. So Q4 versus Q4, we still see a very flattish commission rate on the year-over-year basis.
Fawne Jiang – Brean Murray: Got it. Basically, the commission rate floated back after World Expo in 4Q last year, right?
Jane Sun: Correct. Correct.
Fawne Jiang – Brean Murray: Got it. Yeah. Thanks. It’s very helpful. Thank you very much.
Jane Sun: Yeah. Thanks, Fawne.
Operator: And your next question comes from [Al Yu] from CICC.
Al Yu – CICC: Hi. Thank you for taking my questions. So just a very quick follow-up question in regard of your hotel business. Just could you give us a brief idea about what is the taking rate of Ctrip’s hotel volumes in China? And my second question would be your, sorry, my second question will be your packaged-tour and currently that explanation about why – what cause this such a significant moderation on the packaged-tour growth rate in Q3? Thanks.
Jane Sun: The hotel commission rate for us is very consistent somewhere around 14% to 15% very sustainable, very consistent commission rate. On the packaged-tour I think mainland China the growth rate is about 50%, but as we discussed outside of Mainland China the overseas growth is not as strong as mainland China that’s why if you add them together it becomes somewhere around 20% to 25% growth rate for packaged-tour.
Al Yu – CICC: So and the last questions is, so what do you see the packaged-tour in Q4, I guess, I think, I missed the guidance you mentioned it before. Could you mention it again?
Jane Sun: It’s about. Sure. About 30% to 40% year-over-year growth.
Al Yu – CICC: Okay. Thank you.
Jane Sun: Sure. Thanks.
Operator: And your next question comes from the line of Dick Wei from JP Morgan.
Dick Wei – JP Morgan: Hi. Thanks for taking my question. Just wonder future there’s any plan to grow the coupon programs through other (inaudible) as well beyond hotel? And in addition, currently for the hotel coupons, how much, is there any difference between online versus offline bookings?
James Liang: We do not provide coupon promotion in other line of business and for those coupon, when you want to redeem, you have to redeem online and in that regard I think we can also help our online booking business.
Dick Wei – JP Morgan: Thank you.
James Liang: Thank you.
Jane Sun: Thank you, Dick.
Operator: We have no further questions in the queue.
James Liang: Okay.
Jane Sun: Thank you everyone for joining us on the call today. A replay of the call will be available as usual on the IR website shortly after the call is completed. We appreciate your interest in Ctrip and look forward to convening with you again next quarter. Thank you very much for your time. Bye-bye.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Have a great day.